Operator: Welcome to the Gibraltar conference call to discuss its second quarter results and its outlook for the remainder of 2008. We’ll begin today’s call with opening comments from Ken Houseknecht from Gibraltar’s Investor Relations Department. After the company has concluded its presentation, we’ll open the lines to your questions. At this point, I will turn the call over to Mr. Houseknecht. You may proceed sir.
Kenneth P. Houseknecht: Thank you, Erica. And welcome to Gibraltar’s third quarter 2008 conference call. Before we begin, I want to remind you that this call contains forward-looking statements about future financial results. Our actual results may differ materially as a result of factors over which Gibraltar has no control. These factors are detailed on the company’s 10-K, which can be viewed on Gibraltar’s website at Gibraltarone.com. If you did not receive the news release on our third quarter results, you can get a copy on our web site. A set of the presentation slides that we will cover during this call is also available on our site. On our call this morning are Brian Lipke, our Chairman and CEO and Hen Kornbrekke, our President and COO and Ken Smith, our CFO. Thank you for joining us. At this point, I would like to turn the call over to Brian. Brian.
Brian Lipke: Thanks, Ken. Good morning everyone and thanks for being on our call this morning. I am going to address two areas in my comments this morning. First, I’ll provide an overview of our third quarter, nine month results, which Ken Smith and Henning will then discuss in greater detail. Following their presentations, I’ll update the progress we’re making in our ongoing efforts to streamline our operations, manage our portfolio of businesses with our recent SCM sales, and strengthen our balance sheet. After that, we’ll open the call to any questions that you may have. In the third quarter, we built on the strong results we reported in the first six months of the year. We generated higher sales and solid earnings and margin growth in both of our segments, even though two of our primary markets continued to weaken. With housing starts down 33% and the North American auto build off 16% compared to the third quarter of 2007. During the third quarter we continued to lower our cost structure, consolidate and streamline our operations, and pay down debt. We also benefitted from our 2007 acquisitions of Dramex, Noll, and Florence Corporation which added incremental sales of 14 million in the third quarter and $73 million in the first nine months of 2008. Our businesses that sell to the commercial building, industrial, architectural, and international markets also performed well during the third quarter. All of this enabled us to generate a third quarter sales increase of 10% and income from continuing operations increased 69%. In the first nine months of 2008, sales from continuing operations were up 8% and income from continuing operations increased by 48%. Even though the business climate has become somewhat more uncertain in recent weeks, the many steps that we have been taking to reduce costs through our lien initiatives and facility consolidations are progress in lowering debt, our product leadership positions, and the diversity of our markets, and our programs to gain new business from current customers while continuing to add new ones, has strengthened our ability to successfully weather this slow down. We continue to reshape and reposition Gibraltar and our results in the third quarter and the first nine months of the year, especially in light of the extremely difficult market conditions, are evidence of our progress and more so of our potential once our markets begin to rebound. At this point, I’ll turn the call over to Ken Smith for a more detailed look at our financial results. Ken.
Ken Smith: Thanks, Brian and I’ll begin with slide three, which focuses on key categories of Gibraltar’s third quarter and nine month results. We had another good quarter as both segments generated revenue gains, with building products producing double digit increase. The revenue gains came from our 2007 acquisitions and continued strength in the commercial building and industrial markets, which more than offset the slowdown in residential new construction and automotive markets. The strong growth in operating income in the third quarter and nine months was again, the result of contributions in the acquisitions, the excellent results from our commercial and industrial businesses, and a significant improvement in our process metals segment, which came from improved pricing and operating efficiency. And part of these improvements also included facility consolidations and reductions. Earnings per share from continuing operations were up sharply as a result of the factors just noted, together with a reduced interest expense from lower rates in average borrowings. Our free cash flow in the first nine months of ’08 compares unfavorably to 2007, which benefitted then from $16 million generated from discontinued operations last year. Now, I’ll turn you slide four, net income and EPS. Henning will review the performance of our segments in a couple of minutes, while I’ll discuss the other significant P&L differences. Our corporate expenses in the third quarter increased due to 1.1 million of non-cash charge for software no longer in use and also, in the nine month period for 2008, expense also rose due to higher variable incentive compensation based on the improved earnings this year. The decreases in our net interest expense for the periods presented resulted from lower average borrowings and lower average interest rates as compared to the prior year periods. Regarding income tax expense, the amounts have increased for the comparative periods due to higher pre-tax earnings, while the comparative third quarter rates were nearly equivalent, the year-to-date 2008 tax rate was lower than the comparable 2007 period by 110 basis points, primarily due to favorable discrete tax adjustments in the first quarter this year. We do expect the effective tax for the full year, 2008, to approximate 36%. Now, to slide five, cash flow. In the first nine months of 2008 free cash flow was good at 1.3 times net income and 5% of revenues. Again, 2008 does compare unfavorably to 2007, when we had $16 million generated in the first nine months of ’07 by discontinued operations, as well as the reduction of the then elevated levels of inventory. Thus far this year, our businesses have continued to do a good job paring down the cash invested working capital, adding reduced working capital by 25 days since the beginning of the year. Moving ahead to slide six, the balance sheet, total debt was reduced by 10 million this quarter and as the slide shows, by 60 million in the first nine months of this year and by 125 million during the last 12 months, significantly reducing our debt to capitalization, which we expect to fall even further in the fourth quarter. Last month on October 9, we announced the signing of a definitive agreement to sell our SCM powdered metal business. At that time, we expected to close on this sale in the fourth quarter, after regulatory reviews were completed. We did, in fact, close that transaction yesterday and Henning will talk more about it. My point is, that the proceeds from that sale will be also used to pay down debt. At this point, Henning will review the performance of our two segments, update our outlook for the balance of ’08, and then provide more detail on the SCM sale.
Henning Kornbrekke: Thanks, Ken. Our company wide gross margins of 20.9% increased by 2.3 percentage points and our operating margin of 9.4% increased by 2 percentage points compared to the third quarter of 2007. As you can see on slide #7, our building products segment had third quarter sales of $277 million, an increase of 12%, with sales from our newly acquired companies providing approximately half of the increase. And continued strength in the commercial building, industrial products areas are counting for the balance. Strong sales in these areas, together with pricing at market, offset significantly lower unifying sales to the retail and new build housing markets. Sales in the first nine months of the year followed a similar pattern. The third quarter gross margin in this segment was 22.4%, an increase of 0.5 of a percentage point. The operating margin was 12.1%, up 0.6 percentage points from the prior year period. Operational efficiency gains and an improved mix in our commercial industrial business, more than offset unit buying declines in the retail and new build markets. The third quarter we also incurred one time charges of $2.7 million relating to our facility consolidation efforts. Looking at slide eight, our processed metals segment had third quarter sales of approximately $100 million, up 4%. The increase is primarily a result of marketing programs which recaptured lost business and added new accounts and pricing to market, offset by unit buying declines resulting from the sharp slowdown in auto production. The third quarter gross margin was 16.7%, an increase of 7.1 percentage points. The operating margin of 12.2% increased 6.4% percentage points compared to the third quarter of 2007. Improving stripped steel operating characteristics, pricing to market, and cost savings from the 2007 facility consolidation, all contributed to the margin improvement. At this point, I’ll describe our current expectations for the balance of 2008, which are outlined on slide nine. We expect difficult conditions will remain in the new build housing market with the fourth quarter 2008 down approximately 30% or more compared to a year ago. But the decline is slowing with single family starts, flat in the current month versus the previous month. 2009 should show modest improvement. All of our businesses selling into this market have adjusted their core structures, which together with our efforts to gain more business from current as well as new customers, position us to continue producing solid results. While our commercial building and international businesses experienced growth in the first nine months of 2008, their markets weakened in September and faced more difficult outlook in the fourth quarter. However, many of our end markets like energy and industrial still exhibit positive growth characteristics and the housing repair model market has begun to improve. All of these conditions reflected the third quarter GDP number released last week. In the fourth quarter, the North American Auto Build is likely to be down 20% or more compared to a year ago. The slowdown looks like it will continue, but we expect to offset much of the slowdown through recaptured business, better penetration with current customers, and continuing to find non-automotive customers for our products. With that as the backdrop for performance in the third quarter and first nine months of 2008 demonstrates that we have made significant progress in improving our operating efficiency, as well as providing a solid base for higher earnings as the markets rebound. Slide 10 provides additional detail on our recent divestiture. On October 9, we issued a press release announcing the signing of a definitive agreement to sell our powdered metals business. SCM Metal Products closed on this transaction on November 5, 2008. While SCM has been a good business, it does not fit the strategic direction that our company is moving in. The sale of SCM helps us to continue to focus on a long term strategic objectives. Moving ahead to slide 11, we provide a road map on our guidance for earnings per share, starting with updated guidance’s if we had not sold SCM. Our updated guidance for 12 months 2008 would have been in the range of $1.61 to $1.68 per share for continuing operations, which compares favorably to our guidance provided on August 8. Our raised guidance for the full year stems from our strong results through the first nine months, plus our expected earnings in Q4. In Q4 we expect a normal seasonal slowdown in our sales volume, but also a higher degree of uncertainty brought upon by the highly volatile credit markets, the indirect/direct effects from slowing consumer spending. With the sale of SCM in the fourth quarter, that will take approximately $0.14 from a full year guidance and yield our expected range from continuing operations of $1.47 to $1.54 per share without SCM. Now, turning to slide 12, we also are providing a schedule showing several time periods for 2007 and 2008, from what we expect continued operations to be. Bear in mind, that the operating results of SCM will be reclassified to discontinued operations as of October 3, 2008, the date the definitive agreement was signed. In summary, we continue to focus on optimizing our businesses through operational excellence, tight expense control, decreased working capital, and aggressive marketing. And even in difficult markets, we continue to look for growth for new products, markets, and businesses. The progress we’ve made in each of these areas provides a base for even higher earnings as markets return to normal levels. At this point in time, there is little clarity into 2009. However, as stated earlier, we have positioned the company to deliver strong results to all our stake holders in 2009, just as we have in 2008. At this point, I’ll turn the call back over to Brian.
Brian Lipke: Thanks, Henning. I’m going to make just a few comments before we open the call to any questions that you may have. During the third quarter, we continued to make progress streamlining our operations, managing our portfolio businesses, and strengthening our balance sheet. We’ve closed or consolidated 22 facilities since the beginning of 2007, which helped lower our cost structure. The continued transformation of our portfolio businesses, including the sale of SCM, is a key part of our overall strategy and it includes both acquisitions and the occasional sale of a division or a product line that’s not consistent with the direction that we are moving the company in. As we’ve continued to reshape the portfolio, Gibraltar has become a stronger company, more capable of delivering sustained earnings and cash flow growth. As Ken Smith noted, we paid down another 10 million in debt in the third quarter and we’ve lowered our debt by 125 million over the last 12 months. And we’re going to have a big impact on the fourth quarter from both cash flow generated from operations and the sale of SCM to bring that debt down even further. We are going to use the proceeds from the sales to continue to pay down debt as we look out into the future. Although, as we get more comfortable at the outlook for 2009, we anticipate the opportunity to once again begin looking more aggressively at acquisitions which we think may be attractively priced. While it certainly remains a very difficult operating environment, we’ve made good progress so far in 2008 and we have a number of initiatives underway that will continue to build Gibraltar into a stronger, more resilient company, able to produce consistent results, even in tough market conditions. With that, I’ll open the call to any questions that any of you may have.
Operator: (Operator Instructions) The first question comes from the line of Michael Cox, from Piper Jaffray. You may proceed.
Michael Cox - Piper Jaffray: Good morning. Congratulations on another strong quarter, gentlemen. My first question is on the pricing environment. I was wondering if you could talk a little bit about the general stickiness of the price increases that you’ve implemented through the course of the year, now that we’ve started to see commodity prices come down.
Ken Smith: The real question at hand is more about maintaining the spreads. And that’s something that Gibraltar has always focused on. If you look back over the history of the gross margins that the company has been able to generate, you’d see a very consistent pattern on a year-over-year, quarter-over-quarter basis, driven primarily by the change in seasonal volume, with the first and fourth quarters historically being our two weakest quarters and the second and third being our two strongest quarters. And that’s, if you look back over a number of years and that pattern exists, in spite of the dramatic volatility that has been in place particularly from a steel standpoint. If you go back to 2003, steel was at different points in time in the quarter, but in the high $200 per ton rate. In ’74 it peaked at $700 a ton. ’75 it came down. I’m sorry, in ’05 it came down, ’06 it came up a little bit. ’07 it dipped and then in ’08 it climbed to all time high levels. But throughout that entire period of time, in spite of the ups and downs in the commodity, raw material pricing environment, we’ve been able to maintain a fairly consistent, year-over-year quarterly pattern of earnings. The other factor that has changed Gibraltar is we’ve moved the company more and more into the end product manufacturing arena. And now with the sale of SCM, over 80% of our sales will be of manufactured end products. It’s built in more consistency and better ability to deal with the volatility and the raw material pricing ranges because as we move more and more into end product manufacturing, raw material becomes a smaller and smaller percentage of our overall selling price and thus has less of an impact on volatility. So, as we look out into the future, and continue on our path of streamlining our operations and getting more efficient, I should add without limiting our ability to service the customers, we feel comfortable with our ability to continue to manage that part of the spread equation as we go forward.
Henning Kornbrekke: I would just add, we have not been aggressive with our customers in moving prices up. In most cases, we’ve gotten prices at the back end of the curve. We’ve almost never recovered the full increase of cost. Most of the gains that we’ve got is through efficiencies that we have worked on internally. We try to treat our customers very fairly and right now we know that material volatility is a big issue. But, we are going to continue to deal with our customers in this situation, as we always have, as conservatively as possible. And therefore, I think we’re, I guess, less concerned than many other businesses would be as we go forward.
Brian Lipke: I think I’ll add one last thing too. While we look at our inventories at this point in time, the volume of inventory that we have is at a very conservative level. So that minimizes any period of potential disruption that we have to work our way through. So, you know, our penchant over the years has not been to speculate on inventory. It’s been to manage our inventory levels and our inventory investment all the way through the system from raw materials, to work in process, to finished goods and the course of the last year—actually the course of the last two years—we’ve substantially improved our ability to control those components of our working capital and balance sheet. And we’re entering, you know, this period where it appears for a while the commodity and raw material pricing will be coming down, as good a position as one could possibly enter.
Michael Cox - Piper Jaffray: That’s a great overview, thank you. And on the facility closure or consolidation side, it looks like you have consolidated four in the quarter. Do you have further plans for consolidation in the fourth quarter or as we look out to 2009?
Henning Kornbrekke: Yeah, we are working, looking right now. In fact, we are working at closing a rather large facility. That’s in process right now. We should finish that by the end of this year.
Michael Cox - Piper Jaffray: Okay. Thank you. And then my last question with the proceeds of the SCM transaction being used to pay down debt, could you provide a year end debt expectation or debt level expectation?
Ken Smith: I think we’ll be here somewhere around 360 to 370 million.
Michael Cox - Piper Jaffray: Okay. Great. Thank you very much.
Henning Kornbrekke: You’re welcome.
Operator: Your next question comes from the line of Peter Lisnic, from Robert W. Baird. You may proceed.
Peter Lisnic - Robert W. Baird : Good morning, gentlemen. I was wondering if we could talk a little bit just about the margin improvement process models. If I look at the third quarter, on the operating margin basis, we’re looking at something that, you know, around 12% with the restructuring charges loaded in there, which is, you know, a margin that is strong as anything you’ve put up in half a decade, at least. So I’m just, I’m kind of wondering, how do you drove that? And if you could break apart and maybe quantify what piece of that was driven by cost savings? What piece of it was driven by pricing? And just give us a little bit more color on that increase.
Ken Smith: Probably half of it was in cost savings related to the closing of the plant. We expect to see even more pick ups as we drive higher volumes because we in fact have taken our break even down by quite a bit. And the other piece is pricing, of course.
Brian Lipke: I think from a comparative basis though, we have to have to go back and look at where we were a year ago. And a year ago we were over inventoried with high priced inventory, which took that operating margin, the operating margin for that period down lower. So, the spread seems pretty large from one year to the next. The other thing too is that, if you recall, we’ve made some pretty significant management changes in that business and a year ago the sales effort had not been nearly as focused and aggressive, than as it has been during the course of the last year. And we’ve been able to find a more appropriate spread between raw material costs and selling prices, which was a direct effort of a much more focused and realized sales effort.
Peter Lisnic - Robert W. Baird : Okay, great on that one. And then if I could just switch gears a little bit to the comments that you eluded to for ’09. I heard, you know, there’s a clause in there about modest improvement in ’09. And then you also talk about repair and remodel basically seeing some improvement I think in the fourth quarter or maybe projected improvement next year. I would love to get some color on that because it doesn’t seem to coincide with some of the other, at least residential building product suppliers seem to be saying right now about that end market.
Ken Smith: Yeah, I think when you look at and then say, and I’ll separate it to repair in the remodel. The repair market has picked up significantly. And if you talk to particularly roofing companies, of which a number them, some public and some not public, you’d find that their sales are rather strong and they’re doing rather well, which is an indication people are starting to—and we see this buy resell homes and are starting to invest more in their current homes. We’ve also seen some remodeling activity pick up and renovations inside of the home. I think we’ve seen some increased activity even in some of the retailers that we do supply and all of that is that we suggest, it says that people now, which are more characteristic of the market renters, starting now to reinvest in their homes. Again, for a number of reasons, either buying a new home or if they decided they are going to stay in their home and they decided they are going to begin to invest. Not at the same rate they had in the past, but we are starting to see that starting to pick up and its reflected in our sales.
Brian Lipke: One of the other things that you are starting to read more and more about, both relative to auto and housing, with the declines now, with housing starting in ’06 all the way through ’07 and now all the through ’08. There’s only so much time that maintenance can be put off, both for a car or for a home. And its getting to that point where the deferred maintenance can no longer be deferred and people are starting to have to do some of these repairs. Particularly in the area of roofs and ventilation, which goes along with roofing repairs and having those referring to. So, I think also the statement that was made relative to next year was the rate of decline from ’06 to ’07 was very severe. The rate of decline in housing from ’07 to ’08 was severe but not as severe as it was from ’06 to ’07. And certainly while there are some reasons to be a little bit more hopeful in the outlook in ’09, although it’s a little bit too early to tell, because of some of the various governmental programs that have been announced and are just barely getting started at this point in time. But there’s certainly the rate of decline from ’08 to ’09 should be reduced. If not, end up with more of a flat overall build out look.
Peter Lisnic - Robert W. Baird : Okay. That is very helpful. And then last question, it’s basically the same question I asked about processed metals. For building products, can you maybe give us a sense of what sort of pricing improvement drove the relative improvement in margins in that business if you X out the restructuring costs.
Brian Lipke: In building products?
Peter Lisnic - Robert W. Baird : Yes, in building products.
Henning Kornbrekke: I think in pricing and building products we’d say that we were flat. Some did well and some not at all and we’re not going to separate the two for obvious reasons. But I think what the improvements that we saw in building products were generated internally through operational efficiencies.
Peter Lisnic - Robert W. Baird : Okay. That’s helpful. Thank you very much.
Henning Kornbrekke: You’re welcome.
Operator: Your next question comes from the line of Mark Parr from KeyBanc Capital. You may proceed.
Mark Parr - KeyBanc Capital Markets: Hey gentlemen, good morning.
Brian Lipke: Morning, Mark.
Mark Parr - KeyBanc Capital Markets: Hey, great job on the quarter. Once again.
Brian Lipke: Thank you.
Mark Parr - KeyBanc Capital Markets: You’ve got some good momentum going. Now if we just knew what the economy would be, we could come up with an ’09 outlook, right?
Brian Lipke: We’d be all set.
Ken Smith: We’d be all set, Mark. You hit the nail on the head.
Mark Parr - KeyBanc Capital Markets: Yes, I figured that one out. At least the OIS spread’s down below 150 basis points. So, we’re not Armageddon land anymore. But we’re still in bad shape on the credit situation. Moving in the right direction.
Ken Smith: We thought you could help us with the ’09 forecast. We’re waiting for you to give us guidance.
Mark Parr - KeyBanc Capital Markets: Oh sure, well just, I’ll send a contract over and you know, you sign it and we’ll be ready to go.
Ken Smith: Okay, let’s go.
Mark Parr - KeyBanc Capital Markets: Did you have much of a FIFO impact in the third quarter? I don’t know if you quantified that. You indicated in the second quarter it might’ve been a nickel. I mean, was there anything similar in the third quarter?
Ken Smith: We had probably under five cents, Mark, is what we calculated for what the impact would’ve been for FIFO inventory costs.
Henning Kornbrekke: Pretty similar to the second quarter.
Mark Parr - KeyBanc Capital Markets: Okay. Alright, and again, recognizing that we don’t really know what the you know, the overall economy is going to bring for ’09, but you know, looking at the things that you have, you know, within your control on the facility consolidation side, you know, you made great progress in ’08. I mean, could you give us a sense of kind of where you are? You may have already talked about this but if I’m repeating a question, I apologize. But how much more consolidation activity is still left in the pipeline based on what you’re looking at right now?
Henning Kornbrekke: I think realistically we don’t have a lot more consolidations to go through. We’ve done a good job on distribution. We’ve done a good job in consolidating our plants. We’re really focusing operating efficiencies at this particular point. And we’ve positioned ourselves to run at lower volumes, unit volumes, than we have in 2008. So, we’ve tended to be very conservative and I think with all of the restructuring we’ve done, we still feel comfortable that ’09 will be a, we think ’09 will be a good year for us.
Brian Lipke: The thing with all the restructurings that we’ve been going through, we did a bunch in ’07 and we didn’t feel the full impact of those actions in ’07, it swung into ’08, clearly. And we expect that the same would—don’t expect, we know that the same is going to happen as we move into ’09. Many of the actions that we’ve taken in the latter portion of this year we will probably receive little benefit in ’08 but more if not all of it in ’09. So, that gives us a little momentum going into the year. I’d say, to use a baseball analogy that we’re probably in the seventh or eighth inning of our restructuring. However, once we again begin to start making acquisitions, that sets up a whole new level of opportunity for us to consolidate acquired businesses into our existing operations. Cut costs and improve the performance of the acquired businesses. So, in a certain regard, Mark, it’s going to be an ongoing activity permanently embedded in our business as we continue to make acquisitions.
Mark Parr - KeyBanc Capital Markets: Okay. So, I just want to make sure I had that right. So, the ‘0, you know the 22 closures or you know all the consolidation activity in ’08 is really something that we’ll see the benefits of, the earnings impact of in ’09.
Henning Kornbrekke: Yes, we’ve already taken the costs associated with the restructuring and the closing of the plants in the prior years. And so ’09 should be free of those costs. Don’t forget, almost every quarter we keep looking at ourselves, we’ve had below the line charges which you know we characterize as a one time charge and I think we’ve done that for, I don’t know, five or six quarters in a row. All of that was related to the restructuring and the facility consolidations. I think in ’09, you’re going to find it to be a lot cleaner. I think we’ll see the full benefit of that and I think with just a little bit of volume picked up. We’re excited.
Brian Lipke: When we were coming out of ’06 and looking into ’07, we came to the harsh realization that we weren’t going to be able to control the markets. And in that situation, we needed to look at what we could control and what we felt we could control were our costs. And at that point we elected to get very aggressive in looking at our existing operations. And as a result of those actions, I think we’re in a much improved position compared to where we were throughout 2006 and very well positioned to deal with whatever comes along in ’09. And as I said earlier in my more prepared comments, what excites me is that for two quarters in this year, the second and third quarter, we generated EBITDA higher than any period of time in the company’s history. And that’s with very depressed major markets. So, when volume comes back up with this new lower cost structure that we have in place today, you know, with the 22 facilities that have been closed, there have been other permanent reductions in overhead. So, when we get some additional volume to leverage against a much lower cost structure, the opportunity for significantly improved earnings exists.
Mark Parr - KeyBanc Capital Markets: Okay. I really appreciate that color. I think it just helps to highlight ’07 you had kind of all of the costs and none of the benefit. ’08 you had ongoing costs and benefits that you’ve been realizing. As the costs of consolidation ease off in ’09, you’ll still get another big upside in terms of benefits. So I think I’m thinking about this right. And so I can see how you would feel that you’re well prepared to you know, “weather the storm” you know in terms of any recessionary extended recessionary pressures that may unfold over the next six to nine months.
Brian Lipke: Well you summed it up well although the only thing I’d add is when I look at housing and auto, I think for the last two years, our business has been dealing with recessionary levels of activity.
Mark Parr - KeyBanc Capital Markets: Yes, Brian, I hope you’re right. You know, it’s hard to think that you know, when GM sales are down 45% in October that there isn’t something other than you know, derived demand at work. I mean I can’t imagine that the demand for cars fell off 45%. So, there’s clearly some pent up demand being created in the market place right now with this credit issue that we’ve got in the economy.
Brian Lipke: Yes, I read a report in one of the firm’s who just stands back and analyzes all variety of economic factors. And they are talking more and more about pent up demand being built. Which at some point in time will come to fruition.
Mark Parr - KeyBanc Capital Markets: Well yes it’s not the consumer deciding he doesn’t want a car. It’s the consumer being told he can’t get credit to buy one or go get one. And that’s definitely a difference. So, okay, Brian, look, I won’t tie this thing up. But you know, I just want to, again, take the opportunity to congratulate you. You guys are doing a hell of a job in a difficult environment and I’m on your side. I can’t wait to see what the earnings look like when the demand picks up.
Ken Smith: Thanks, Mark.
Brian Lipke: Thanks, Mark.
Operator: Your next question comes from the line of Leo Larkin from Standard & Poor’s. You may proceed.
Leo Larkin - Standard & Poor’s: Yes, good morning. Two questions. First, any estimates for CapEx and DD&A for ’09.
Ken Smith: We’re going to spend about 67% of depreciation in ’09. That’s what our plans are which I think is about what, 24 million dollars.
Leo Larkin - Standard & Poor’s: Okay. The other thing I’m wondering about with a lot of stress occurring in the auto industry and are you—how are you looking at your accounts receivable. Are you concerned if—
Ken Smith: We have very little risk with any of the automotive suppliers and accounts receivables. In fact, we’ve had a lot of discussion on that subject, now that you bring it up.
Brian Lipke: We’ve been watching it very closely.
Leo Larkin - Standard & Poor’s: Okay, so there’s nothing—
Ken Smith: Nothing major at this time.
Leo Larkin - Standard & Poor’s: Alright, thanks very much.
Ken Smith: You’re welcome.
Operator: Your next question comes from the line of Jimmy Kim from RBC Capital. You may proceed.
Jimmy Kim - RBC Capital Markets: Good morning.
Ken Smith: Good morning.
Jimmy Kim - RBC Capital Markets: Just a quick question for you. In your processed metals segment, you talked about marketing programs and pricing offsetting the weakness in North American auto. Could you break down the volume and pricing, or the contributions for volume and pricing?
Henning Kornbrekke: I think year over year our volumes are off about 3 to 5%.
Jimmy Kim - RBC Capital Markets: Okay.
Ken Kornbrekke: Our unit volumes, tons, are down to about three to 5%. I think at pricing, I’m getting input from our financial people.
Ken Smith: ’07 was the down year, ’08 they’ve actually made up some ground.
Jimmy Kim - RBC Capital Markets: In volume or pricing?
Ken Smith: We’ll have to get back to you on that on.
Jimmy Kim - RBC Capital Markets: Okay so it’s not three to 5% or the volume decline for ’08 is not three to 5%?
Brian Lipke: I’m looking at total ’08 and if we look at our tons sold this year versus last year, it’s three to 5%. We had a bigger decline in the third quarter, but your questions relative to ’08. We would think when we finish this year we could be, on a unit volume decline, tons over tons, probably seven or 8%. We’ve made up all of that plus a little bit on pricing.
Jimmy Kim - RBC Capital Markets: Okay. Thank you so much.
Brian Lipke: When we look at pricing, we always give it a shot. That’s the way it’s going to end up.
Operator: Your next question comes from the line of Tim Hayes from Davenport & Company. You may proceed.
Tim Hayes - Davenport & Company: Hey good morning, it’s Tim Hayes from Davenport. How are you?
Brian Lipke: Good.
Tim Hayes - Davenport & Company: Just a further question, a lot of my questions have already been answered, but just to further the processed metal products, if given in Q3 volumes were down from a year ago, you know, that makes the gross margin figures even more impressive given that volumes were lower. I guess my concern is there any part of that gross margin that you think is not sustainable?
Brian Lipke: Yes, I think we said earlier that we probably we come in with a gross margin of probably about two percentage points higher than is sustainable on a long term basis. But we’ve also talked a little about restructuring the business and then basically we’ve gotten the gross margin up to a very attractive level, given normalized unit volume through the plants. Right now, we’re running lower unit volumes through the plants so we’re not gaining the full efficiencies that we would normally get with the reconstruction efforts that the business has had. But again, as we look to next year and we are going after and have been obtaining more business, more tons through the plant, we expect to maintain let’s say a very respectable gross in operating margin as we go forward.
Tim Hayes - Davenport & Company: Okay. Thank you, that’s all my question.
Brian Lipke: Thank you.
Operator: Your next question comes from the line of Dennis O’Rourke from Regiment Capital. You may proceed.
Dennis O’Rourke - Regiment Capital: Yes, hi, good morning. Looking at your inventory levels, it looks like you ended September with inventories about 15 million above last year’s end of third quarter. Do you think your inventory volumes as reflected in the end of you’re above or below as you enter the end of the third quarter last year?
Ken Smith: Below. Inventory levels are below and again, we tend to measure DSIs and if you look at our DSIs, we’re about, I think last year—they’re looking, but I think we were 82 DSIs and this year aren’t we, yes, I was going to say 72. We’re, they’re saying 71, I’m going to say 72 DSIs. So, our day sales of inventory are significantly down. We’ve got a strong focus on eventually getting our DSIs into the sixties which is a respectable level. And I think that we’ve got planning in place that eventually will drive us to that level.
Brian Lipke: Keep in mind one thing, that while our hard inventory level in dollars is slightly higher than what it was a year ago, in that year, commodity raw material prices had sky rocketed. Even though they started recently, very recently, to turn down, to maintain almost the same level against that kind of an increase, we think is a pretty decent job on our part. As these commodities start to come back down, of course our, I guess the lower the volume, our inventory investment will also come down.
Ken Smith: And that’s why, recognizing why we’re using DSI’s, we’ve got split inventory. We do have some steel that in one of our businesses. But many of our business and a lot of them in terms of finished goods, it’s units. It’s skus of units and you know, as Brian said, as pricing goes up and in many cases, selling price goes up. So, a better measurement is day sales of inventory.
Dennis O’Rourke - Regiment Capital: And then on your fourth quarter. If you back up the numbers, it looks like you’re guiding to five cents of EPS but if you include the asset sales for the full year as if it hadn’t happened, so if you back that out, it looks like that’s about four cents a quarter. Is it fair to say then on a, you know, if you excluded the assets, you know, earnings per share in the fourth quarter, it’d be about a cent, which is about flat year over year?
Brian Lipke: On the fourth quarter I think last year fourth quarter we lost eight cents and I think if we do the arithmetic right, we’re looking at—
Ken Smith: Six to 13 cents.
Brian Lipke: Six to 13 cents in this fourth quarter.
Dennis O’Rourke - Regiment Capital: Okay.
Brian Lipke: I mean, it sounds like it’s a significant improvement over fourth quarter last year.
Dennis O’Rourke - Regiment Capital : Oh I read it when I backed up the numbers. Five cents included the assets sales for the full quarter. Okay so it sounds like earnings and sales and everything will be up year over year. Is that right?
Brian Lipke: Yes, that’s absolutely correct.
Dennis O’Rourke - Regiment Capital: Okay. And then finally, your bonds are trading in the – are offered in the high sixties. Any thoughts on are you able to, per your credit agreement, to buy back your bonds with the yield that they have at a big discount or…
Ken Smith: Under our credit agreement there’s a protocol sequence we have to follow on any debt reduction. And bonds would not be part of that, the first couple step downs. So, we unless there’s a make hole on some of those. But we are prevented; most of our initial debt reduction has to go against the revolver of the terminals.
Dennis O’Rourke - Regiment Capital: And probably, it’s not a time to go back to your bank for an amendment right?
Brian Lipke: I would not prefer to that.
Dennis O’Rourke - Regiment Capital: Okay. Thank you.
Henning Kornbrekke: We’re in good stead with them right now. And we like keeping them posted with all the good news but we certainly do not want to get into a position of going back for any amendments.
Dennis O’Rourke - Regiment Capital: Yes, thank you.
Brian Lipke: You’re welcome.
Operator: Your next question comes from the line Yvonne Varano of from Jefferies & Company. You may proceed.
Yvonne Varano - Jeffries & Company: Thanks. When you look at outlook for 4Q, can you just let us know what kind of expectations you’re factoring in there in terms of steel pricing?
Brian Lipke: Which time period?
Ken Smith: 4Q.
Yvonne Varano - Jeffries & Company: In 4Q.
Brian Lipke: We’re using the pricing that we—
Ken Smith: All of our buys yes—it’s what our inventories are at right now. So, there’s no speculation, very little speculation in the fourth quarter. Fourth quarter’s a slower period. We’re basically going to work our inventories right through the fourth quarter and it is what it is. And that’s what we piece in our numbers.
Yvonne Varano - Jeffries & Company: Okay.
Brian Lipke: Any buys that we’re doing right now are really first quarter buys in ’09.
Yvonne Varano - Jeffries & Company: Okay. And can you help us understand a little better how the management in the processed metals products segment has changed the way the contracts are structured so that you can maintain that operating margin?
Brian Lipke: Yvonne, I can appreciate where you’re coming from with that question, but on the other hand, but I hope you can appreciate that kind of doves too close to a very competitive information and I’m going to decline to get too specific on that.
Yvonne Varano - Jeffries & Company: Okay. Thank you.
Brian Lipke: You’re welcome.
Operator: Your next question comes from the line of Jay Grier from Merrimar. You may proceed.
Jay Grier - Merrimar: Hi, just wanted to get a little bit of clarity on sort of ’09 and your outlook. Just which of the different end markets you were involved in that you were expecting to see some turnaround? You know, obviously we’re looking at the data out there on non res construction and steel and overall industrial productions and just trying to, you know, figure out which of those markets I guess you’re most confident in or betting on so to speak.
Brian Lipke: I don’t think we’re betting on any of them. We think that we’re going into the year and we were planning to be very conservative going into the year. We have programmed very little real growth into next year. We know what customers we’ve signed. We know what agreements we have. Certainly we’ve used those because those—well we think the industrial markets that we’re in will continue to be anywhere’s from relatively flat to up slightly. We think commercial building will start to trend down a little bit. But not a lot. There’s still some large projects in place that we’re participating with. I think at the back end of ’09 we’re still somewhat hopeful but not planning on this, that residential housing will start to pick up. We see certain parts of the country where they’ve already started to pick up. We’ve got including Buffalo by the way. 25 cities that were, there are been pick ups in building. And we’re participating well and we’ve got some businesses in those areas that are doing spectacularly well. And I think in automotive there’s probably a lot more uncertainty on the future of the automotive market but we’re still confident that the automotive market will right itself and I think as one of the analysts said earlier, there’s an awful lot of pent up demand both in housing and in automotive. And I think at some point that will follow through and I think we’re positioned right to participate to the full extent that the pick up exists.
Jay Grier - Merrimar: I see. And can you clarify is there any market share gains that you’ve seen in terms of you know, servicing you know, whether it’s auto or non res?
Brian Lipke: Areas where we have strong market share we’ve—which it’s usual. We’ve continued to dominate and in those areas we could put more pressure on our competitors and some of the markets we’ve seen our competitors fall by the way side as they say. And that’s allowed us the opportunity to pick up the business that they’ve left behind. We’ll continue to focus strongly and continue to focus on pushing our market share advantage wherever we can.
Jay Grier - Merrimar: I see. And so just to clarify, you mentioned commercial construction. You’re sort of seeing it flat ends to trending down slightly but…
Brian Lipke: Depends on what element you looked at. Certainly infrastructure is still relatively strong but those are long term projects. We’ve got a new administration coming in place. So, there’s reason to believe somewhat optimistically that infrastructure build will continue. That that would not be unusual, be consistent with all the forecasts out there. We see some of the commercial buildings, I mean; healthcare has got a number of issues. They are still building although; they’re looking at it, healthcare facilities. So, there are segments inside in some of the end markets they’re in. Energy is still relatively strong. We supply a lot of products into the oil wells and the drilling and there was a lot of discussion in the election about should we drill offshore. I think the consensus was, they all said yes at the end of the day. We make a lot of components that go into that part of the end market.
Henning Kornbrekke: Yes, I think with security we do play in the security market. I think that’s going to continue to have some emphasis, again, those are just an examples of some of the end markets that we play in and we think they’ll continue to be rather good for us. Not robust but good and allow us to continue the trend that we’ve developed.
Brian Lipke: You know, the diversity of the products that we make and the markets that we serve is one of the strengths of the business. As Henning was doing a very good job at pointing out, just how broad a range of different end markets from a construction standpoint that we serve. And it’s not all doom and gloom. It’s not all rosy either, but there are a lot of plans underway by our federal government to help stimulate certain areas and it’s hard to say how they’re all going to play out. But you know, there is some room for some optimism.
Jay Grier - Merrimar: Yes, no I hate to beat a dead horse. I just, there’s plenty of you know press out there suggesting that commercial construction’s sort of on the verge of sort of material decline and you know, obviously given the financing environment. But it sounds like that hasn’t – that’s not something you’re seeing.
Brian Lipke: No and we do a lot of studies across the country. If you go across the country, there’s not an awful lot of commercial construction underway. I mean it’s not like it was ten years ago where there were new commercial buildings going up everywhere. I man, those have been pared back fairly significantly. I think what’s left is people like ourselves and others participating. And the market has been rather steady. It hasn’t been growing 20 or 30% a year. It’s been jumping along at anywhere from three to 6% and that’s likely to continue. Maybe it won’t be six, maybe closer to three. But again, infrastructure is a part of that and that’s, we think is going to grow a little bit stronger. There’s evidence of that. There are projects that we participate in today that we have backlogs in those projects which suggests that we’re going to continue to participate in the future. I’m saying, we’ve taken a conservative approach and based on the conserve look we have I think a certain comfortable going forward.
Jay Grier - Merrimar: Well that’s very helpful, I appreciate your time. Thanks guys.
Brian Lipke: You’re welcome.
Operator: Again, if you would like to ask a question, please press *1. Your next question is a follow up question from the line of Peter Lisnic from Robert W. Baird. You may proceed.
Peter Lisnic – Robert W. Baird: Hi, back again. Henning, can you just on the 200 basis point improvement in processed metals, gross products margin, the number for the third quarter I think you said was 16.7 and year to date I’m coming up with like 12.8. So, is that 200 basis points relative to the 12.8% or the 16.7?
Henning Kornbrekke: Closer to 16 and again, if you kind of look at the gross margins for processed metals, by the time we get finished at the end of the year, we will have achieved what we believe is a sustainable gross margin for processed metals. It was lower in the first quarter because of pricing. It was higher in the second quarter because of pricing. It will be lower in the fourth quarter because of pricing. But the average is going to be pretty close to the sustainable margin that we expect for processed metals.
Peter Lisnic – Robert W. Baird: Yes, I’m guessing that sustainable margin is somewhere around 14% compared to…
Henning Kornbrekke: It’s about 12 to 13% then you know, and you probably can figure out the rest because the SG&A for that business is very low and they’ve done a good job of maintaining at a low basis. And therefore we’re going to end up with a what we think is a very nice margin for that business. One that’s sustainable on a go forward basis.
Peter Lisnic – Robert W. Baird: Okay, that is very helpful. Thank you.
Henning Kornbrekke: You’re welcome.
Operator: This concludes the question and answer portion of the call. I will now like to turn it over to Brian Lipke for closing remarks.
Brian Lipke: Thank you. Thanks for participating in the call today. We look forward to talking with you again in three months and reporting on our fourth quarter results and talking more about 2009 at that point in time. Thank you.
Operator: Thank you for your participation in today’s conference. This concludes the presentation. You may now disconnect and have a wonderful day.